Operator: Ladies and gentlemen, welcome to AIXTRON's Full Year and Fourth Quarter 2020 Results Conference Call. Please note that today's call is being recorded. Let me now hand you over to Mr. Guido Pickert, VP of IR and Corporate Communications at AIXTRON, for opening marks and introductions.
Guido Pickert: Thank you very much, operator. Let me start by welcoming you all to AIXTRON's presentation of full year and Q4 2020 results. I'd like to welcome the members of our Executive Board, Dr. Felix Grawert; Dr. Bernd Schulte; and Dr. Jochen Linck, who joined us last year in October; as well as our VP of Finance and Administration, Charles Russell. As indicated, this call is being recorded by AIXTRON and is considered copyright material. As such, it cannot be recorded or rebroadcasted without permission. Your participation in this call implies your consent to this disclaimer. Please take note of our Safe Harbor statement, which can be found on Page 2 of our results presentation slide deck, as it applies throughout the conference call. You may also wish to have a look at our latest IR master presentation with additional information on AIXTRON's market and its technology. Both slide decks are available on our Web site. This call is not being immediately presented via webcast or any other medium. However, we will place an audio file of the recording or a transcript on our Web site at some point after the call. I would now like to hand you over to Dr. Bernd Schulte for opening remarks. Bernd?
Bernd Schulte: Many thanks, Guido. Let me all welcome you to our full year 2020 results presentation. And I will start, as usual, with an overview of the key developments for the year before handing over to Charles for more details on our 2020 figures, then Felix giving you update on our achievements in our business areas as well as the outlook for 2021. Let me start by giving you an overview of the key developments last year on Slide 3. In Q4 2020, orders came in at €92 million, which is 30% higher than the same figure in Q3 2020. As broadly expected, revenues in Q4 were strong at €108 million, which was almost 70% higher than in Q3 2020. While our optoelectronics business was slightly lower in terms of revenues compared to 2019, we saw increasing demand resulting in almost doubling of the orders receiving compared to 2019. This strength was driven by both, lasers for datacom as well as for 3D sensing with a particular order strength in Q4. In power electronics, revenues and orders were up significantly, driven by strong demand for GaN power equipment. Felix will give you more details later on. In fiscal year 2020, we fully met our 2020 guidance with a total order intake of €301 million and revenue of €269 million. Gross margin was at 40% and EBIT margin at 13%. Let me now quickly give you an update on our potential impact of the spread of the COVID-19 disease. Our increased internal safety measures have proven effective to mitigate the risk of infection within our premises. We continued to not have recorded any significant effect related to COVID-19 on our operations and business. However, we will continue to watch the development of the global pandemic very careful and remain to be ready to take measures if necessary. Before handing over to Charles, let me say a few words to our dividend proposal we have made due to our strong results achieved during fiscal year 2020. We, the Executive Board, as well as the Supervisory Board propose to pay out a dividend for full year 2020 of €0.11 per share. This will have to be approved by our shareholders on our Annual General Meeting on May 19, 2021. This represents a payout ratio of 36% of our group net result, which was €34.5 million. At this point, let me now hand you over to Charles for a more detailed overview on the full year 2020 numbers. Charles?
Charles Russell: Thanks, Bernd, and hello to everyone. Starting on Slide 4, our income statement, as expected, total revenue for the year was €269 million compared with €260 million in 2019. Gross margin of 40% in 2020 was 2% lower than the 42% in 2019. The difference is attributable to the U.S. dollar-euro exchange rate effect between the 2 years. Overall operating expense in the year increased from €70 million in 2019 to €73 million in 2020. G&A expense increased to €18 million in 2020 from €16.5 million in 2019, mainly as a consequence of increased recruitment costs and other variable expenses. R&D expense of €58 million was €3 million higher than in 2019. This is a reflection of our product development work for our MOCVD systems, including power electronics and mini and micro LED. Here, we have taken next steps and we'll start to ship first systems to test customers worldwide. Towards the end of the year, spending on our OLED development reduced. However, costs for the full year were similar to 2019 at €17 million. Net other operating income of €13 million in 2020 compared to €12 million in 2019, mainly consisted of R&D grant income of €8 million and a €3 million reversal in Q1 of an impairment charge on the facility in Germany. We generated an EBIT of €35 million for the year compared to €39 million in 2019. The effective tax rate in 2020 was 2%, mainly due to the recognition of additional deferred tax assets and because of the reversal of the building impairment. Without these adjustments, the effective tax rate would have been just over 12% of pretax profits. The net profit for 2020 was €34 million compared with €33 million in 2019. Turning to the balance sheet on the next slide. As expected, the high level of sales in the quarter produced a substantial reduction in inventories between the end of Q3 and year-end. At €79 million, inventories were similar to the previous year's level. The high quarterly sales volume is also reflected in the increase in receivables to €41 million, most of which will be collected in Q1 2021. Advance payments received from customers of €51 million was similar to the end of 2019. Advance payments are equivalent to 34% of the backlog. Our cash balance increased to €310 million at the end of the year, including €60 million shown in other non-current assets on the slide. Moving to Slide 6, which shows our cash flow statement. Operating cash flow of €23 million was lower than 2019 because of the increase in receivables at the end of 2020. CapEx increased during 2020 to €9.3 million from €7.7 million in 2019. This reflects an increase in demonstration equipment to the expanded product range and investments in facilities needed for an expanding business activity. With that, let me hand you over to Felix.
Felix Grawert: Thank you, Charles. I would like to give you some perspectives on our addressable market on Slide 7 before concluding with the outlook for the rest of the year. In 2020, our optoelectronic business was slightly lower in terms of revenues compared to 2019. However, towards the end of the year, we saw strongly increasing demand. With this, the orders received in this area almost doubled in comparison to 2019. The strength was driven by laser for datacom from the 5G build-out as well as laser for 3D sensing. Here, we see a growing adoption of 3D sensing applications on both sides of the smartphone and in other devices. In the LED space, customer inquiries for tools to make ROY LEDs are strong, driven by demand from the areas of Full Color Mini LED displays and backlighting units. For the first time in 2020, we have received significant orders for ROY LEDs targeting the horticulture market also called indoor farming. In Micro LEDs, we have seen the transformation of the industry from pure R&D to the manufacturing feasibility stage, making the adoption of this technology more probable than before. At this stage, the order volumes for this segment are still comparatively small. In power electronics, the 2020 revenues and orders were up significantly, mostly driven by strong demand for gallium nitride power equipment. Here, we continue to receive orders from customers to address the growing end market of efficient gallium nitride charger for consumer electronic devices such as smartphones and notebooks as well as efficient gallium nitride power management solutions for servers and data centers. In 2020, we have clearly seen the tipping point of broad gallium nitride power adoption, and we are now in the volume ramp phase for GaN power solutions that replace the incumbent silicon-based power management systems. At the same time, we see increasing momentum in the area of gallium nitride and gallium arsenide RF solutions, driven by the 5G build-out. In silicon carbide, we have achieved the qualification of our fully automated, high-throughput system from 2 customers and we continue to work hard to achieve the same with additional customers. With regards to OLED, we have achieved the customer acceptance of our Gen2 in December 2020 and we are now in customer discussions related to a scale-up of the system to larger size, which would be the final part of the qualification process. Let me now come to our outlook for 2021 on Slide 8. For 2021, we expect order levels to once again increase year-on-year to a range between €340 million and €380 million. This expectation is based on many orders that we have already at the beginning of the year and a very healthy level of customer inquires across all applications. Starting with a backlog of €151 million, we expect revenues for 2021 in a range between €320 million and €360 million. We expect our gross margin to again be around 40% despite adverse U.S. dollar-euro currency effect. We expect an EBIT margin of around 16%. The figure includes increased R&D expenses for the completion of the development of our next-generation products for laser, micro LEDs, GaN power and RF, and 8-inch silicon carbide. With this large portfolio initiative, we expect to secure our leading market position in our rapidly growing core market. Important to note is that order, order backlog and the other guidance figures are based on our 2021 budget exchange rate of $1.25 per euro. In the quarters to come, revenues and profit margin will be reported based on actual exchange rate. We have made our guidance based on the assumption that the current COVID-19 pandemic will continue not to have a significant impact on our business. Please also note that these estimates fully include the results of APEVA from top to bottom-line. With that, I'll pass it back to Guido before we take questions.
Guido Pickert: Bernd, I think you've had -- right, we are now open to questions. operator, please ask the participants to ask their questions. 
Operator: [Operator Instructions] The first question comes from Olivia Honychurch from Liberum.
Olivia Honychurch: Couple from me actually. I just wondered if, first of all, you could talk a little bit more about the OLED project that you currently have ongoing with one of your Korean customers. Have there been any more developments there over the last couple of months? And I guess, elsewhere, sort of regardless of that customer, is it possible that you might look to mirror that project work with other customers going forward as well, for example, in China? That's my first question. Secondly, just on silicon carbide power applications. Can you talk a little bit more about what sort of applications that you're currently seeing strong demand for at the moment? And maybe give a bit more color on whether you're getting any closer to qualification with customers with your platform there as you did towards the end of last year.
Felix Grawert: Yes. Thank you very much for the two questions and let me get started with OLED first. So the key development towards the end of the last year was the completion of the Gen2 project. We achieved a full qualification and the project is concluded. So the final acceptance has been reached together with the customer. The specs have been fulfilled, so to say. And with that, this qualification project is concluded. And if you recall, this was the Gen2 project referring to Gen2, a smaller size or R&D-type size of substrate or glass substrate, which was attached to the R&D line of our customer and that project is concluded. In other words, you can say the proof-of-concept has been done that the OVPD technology, which is a new technology is working. Now that's concluded. And now we are in discussions with customers both in Korea and outside of Korea, about a scale-up to larger substrate sizes. And larger substrate sizes are needed for a full volume production where, ultimately the technology would go. And those discussions are ongoing. It involves a lot of technical details, technical specifications. So that is something which we expect to take a couple of months. That's what I would like to give you the summary for the OLED and OLED discussion. With that, I come to your second question on silicon carbide. I think you had two elements. The first was what applications we address and about the qualification status. So with respect to applications, we expect the biggest volume to go in the market for electromobility and to the electric drivetrain and the main inverter of cars. We furthermore see silicon carbide elements to go in the onboard charger for cars, so to say the compact power charger converting the energy through the cable into the DC voltage in the battery. But we also see further use cases and volumes not as large, in smaller quantities compared to the first two ones in fast-charging stations in infrastructure, for example, along the highways or at, today we call it gas stations, in the future, it will be electric charging stations. The discussions going on about 100-kilowatt or even 350-kilowatt charger, which can charge, for example, 100 kilometers of driving distance for your car in, let's say, 5 minutes or so. We can really use silicon carbide as a power converter. But also, we see silicon carbide going into the electricity generation so into inverters, for example, for solar power plants or for wind power plants. So there is many, many applications around. But by far, the biggest use case is around electromobility. That's the main driver in quantity. To your second question, we have concluded the qualification with two customers. As we mentioned before, with other customers, our system is standing on their shop floor and qualification programs are running. Such a qualification typically takes several quarters because it not only involves that our tool produces appropriate wafers in a reliable manner, but it also means that these wafers need to be put through the production line of our customers, so to say, key MOSFET of full devices being produced and only when these fully produced devices pass the qualification test of our customers, they then typically also accept the tool. So that is a multi-quarter ongoing effort, which will well extend into the year 2021.
Operator: And the next question comes from Uwe Schupp from Deutsche Bank.
Uwe Schupp: Two questions, please. Firstly, on the gross margin and secondly, on the gallium nitride opportunity. So just firstly, on the gross margin, you get a relatively broad revenue range with about a €40 million or so number. And I was just wondering how we should read the 40% absolute gross margin and why you also didn't decide here to give maybe a bit of a range. I would expect, given what we saw in the past, in 2018 or even before that, there would be some benefits from higher volume. And I would also assume that your product mix is probably going in the right direction with silicon carbide and potentially also some VCSEL business coming back. And then secondly, just like to get your thoughts on the gallium nitride opportunity, as in how big do you see the market this year? I guess some of the concerns would be is gallium nitride power really comparable maybe only to the 3D sensing market in 2018 when you basically had one strong year. Or do you really think the opportunity is may be a bit more structural, more longer-term and really comparable maybe even to the silicon carbide opportunity?
Felix Grawert: Yes. Thank you, Mr. Schupp, for your question. Let me get started with the gross margin first. So we have decided on the 40%, not to give a range. But the 40%, if you make a delta interval of a couple of percentage points below and a couple of percentage points above 40% is what we need with a 40% or a range around 40%, just to address the aspect of the numbers. And what are the drivers behind the 40%? First of all, there is a number of mix effects behind it. And also, in 2021, we have significant volume from the ROY LED market. Also, in 2021, we have some very large or we expect some very large orders, volume orders with customers who expect and can expect for good reasons an appropriate lower pricing point. So there is a mix effect mixed into the 40%. In addition to that, the U.S. dollar in the year 2021, now with $1.25, of course, is a heavy burden on the margin. If you compare that with the year 2020 where, over many part of the year, we were at an exchange rate of about $1.1, yes, so this is the big heavy load on the gross margin. And last but not least, our production model is not too much asset heavy. It's relatively asset light and relatively flexible due to a high level of an outsourcing of third-party contract labor. So we do not have so big volume effects of dilution, fixed cost dilution, fixed cost digression as one would have, for example, a semiconductor company who has their fab equipment standing there and suddenly more volume is being produced on the same assets, this is not the case for us. So the volume effect does not give us such a big benefit. These are the main points going into the 40%.
Bernd Schulte: And maybe to add, Mr. Schupp, when we say around 40%, I mean we imply with that, certainly a certain range. It could be slightly above or slightly below 40%. It doesn't mean it will be exactly 40%.
Felix Grawert: Yes. With that, I come to your question on gallium nitride, which was essentially, is it one strong year as we have seen with VCSEL or is this a multiyear trend. So I expect that this is a multiyear trend and of course around the trend, there's always ups and downs. This is also very clear. And what we are seeing today is the big, the first investment, which, to a large part, I expect to be covering the demand for chargers and mobile devices, which is one subsegment of gallium nitride. But as we also explained on multiple instances, expect that gallium nitride will step-by-step penetrate multiple sub-segments. And it could very well be that the 2021 demand is covering the possible mobile device segment. But then we also look at the segment of IT infrastructure, the structures, be it in data centers, yes, the power supplies for servers or be it the power supply for mobile base stations or mobile communication who are very hungry in terms of power. But later on then also expanding in markets such as motor drives and integrated power circuits, which, for example, you would find in white goods, household appliances and air conditioning devices. And based on that, we expect that the gallium nitride is a multiyear growth trend. However, we clearly see a first wave of this trend linked to a very particular application. We also know consumer electronics in particular is an area where trends have very hefty and heavy movements because the adoption is very fast, while other more industrial applications that have a much more very slower momentum. So in a nutshell, yes, there is a strong wave, but it will continue as a long-term growth driver. 
Uwe Schupp: So to summarize, the growth this year will be really mostly, as far as you can see, for the fast-charging opportunity in mobile devices?
Felix Grawert: I would think this is the biggest driver. 
Operator: The next question comes from Jürgen Wagner from Stifel Europe.
Jürgen Wagner: Yes. You mentioned in your prepared remarks that micro LED is moving to pilot production. When do you see that market developing in volume? And who would be your closest potential competitors? And a clarification on the OLED, you said you have APEVA included from the top to the bottom-line. Does that mean that there's any OLED contribution in your revenue forecast for '21?
Bernd Schulte: For the micro LED, you're right. I mean our customers are going now in testing micro LED production on small scale but really testing the feasibility of mass production methods to build devices such as small display for smartwatches or even large displays for TV. The timeline how we see it in the moment is that you might see first TVs in the market, but they're on very small volumes, certainly starting basically more like a market test maybe in 2022 already, while the mobile applications will take a bit longer. I would not expect them before '23, '24, really on the shelf in the shop. Competition is the traditional one. We see it in terms of gallium nitride, gallium arsenide system, our old friends from the U.S., Veeco is our main competitor. And we take certainly that situation on that competition very serious. But we strongly also believe that currently that we have a clear upper hand.
Felix Grawert: With that, let me come to the second part of your question relating to APEVA. And the question was whether we have modeled in our guidance some revenue for APEVA. Yes, we have modeled in some revenue for APEVA based on our most realistic scenario, so to say and we hope that this scenario does materialize.
Jürgen Wagner: Can you say how much?
Felix Grawert: Honestly, I don't have it off my head.
Bernd Schulte: It's not a significant number, let me say this way.
Operator: The next question comes from Stephane Houri from ODDO.
Stephane Houri: Actually, I have 2 questions. So the first one is about 2021. And I would like to know if you can rank, by opportunity, the fastest-growing opportunities this year between power, LED and lasers. And inside power, I'm a little bit surprised that you seem to be more bullish on GaN than on SiC for the time being. So does it mean that what is driving your orders at the moment is not yet SiC and SiC is for the years to come? So that's the first long question, sorry for that. And the second question is about the operating leverage. You have discussed about the gross margin. But EBIT margin, also, some may have expected a little bit more leverage. So why is that? That's the first question. And then what kind of long-term EBIT margin do you target?
Felix Grawert: So let us address your questions one by one. I think the first question you asked is about the growth drivers for the year 2021. So we see strong momentum and strong growth from all the segments, which is very nice, across the board, both from the optoelectronics as well as the power electronics. The only segment which we have highlighted, because it's really sticking out of growing particularly strong, is the gallium nitride, which we already discussed with a strong demand coming from the mobile charging segment, which addresses the second part of your first question, gallium nitride versus silicon carbide. In both these segments, we expect a multiyear growth trend. Nevertheless, in the year 2021, gallium nitride is clearly in a wave of several customers expanding and fully equipping their factory because now is a moment in the market, a spot on, very fast coming moment where these devices are needed. That is typical for the consumer electronics industry where like an adoption of a particular technology goes very fast. Hence, 2021 is so strongly dominated by the growth of gallium nitride. And in comparison to that, silicon carbide, which addresses much more the automotive market, as we discussed earlier in this call, in this segment, we see a dynamic where customers step-by-step, on a more steady, continuous pace, equip their factories. And in silicon carbide, in 2021, we do not see customers putting, let's say, 10 systems or 20 systems in one shot in a factory. We'd rather see expansions of customers adding 1 system, 2 systems, 3 systems here and there. However, in both segments, we expect a multiyear growth driver trend. And with that, I come to your second question, which I understood, and I do not know whether this is right about the margin. EBIT margin, we have guided as around 16%. And this, of course, takes into account that also, for 2021, as we have mentioned before, we expect an increase in our R&D expenses to complete our portfolio renewal. And that, of course, consumes, again, a certain portion of the gross profits realized from the higher top line. Maybe that addresses that part of your question.
Stephane Houri: Okay. And long-term, you think you can reach what kind of EBIT margin if you continue to grow?
Felix Grawert: Of course, depends on many factors. Last but not least, a competitive environment, pricing, pricing power and so on and so forth. But I'd say 15% to 20% should be a reasonable range.
Operator: Next up is Andrew Gardiner from Barclays.
Andrew Gardiner: I have a longer-term one just in terms of the longer-term growth outlook. You guys have included a slide for the last few quarters in your deck looking at the growth out to 2025 for the compound semi-equipment market. Obviously, its industry analyst forecast. And there are some very big numbers in there in terms of the 20% to 35% compound annual growth through 2025. I'm just wondering on your current perspective on this outlook, you've seen orders inflect quite strongly at the end of last year. It feels like the business is quite nicely balanced at the moment between specialty LED, power and opto and with good orders coming across all of them. So what's your current perspective on -- about those kind of long-term growth numbers, are you willing to endorse them as we look out over the next few years? And then, just sort of related to that, what are you guys thinking in terms of CapEx need? You've already highlighted, Felix, the outsourced nature of your work, of your production. But do you need further CapEx in order to support this kind of growth that you're seeing at the moment?
Bernd Schulte: I think for all to understand, I think what Andrew is referring to is the slide we have in our slide deck, which basically displays the expectations from the whole development about epitaxial equipment and market potential. And they have basically two scenarios: One, let's say, a base case and an aggressive case. One is about a CAGR of 20% and another 35%. And the main difference between the two scenarios is the -- how strong the rising of micro LED is more or less. Let me comment on -- I would, in generally, agree to the fundamental growth concept behind that study. I would be more careful with the absolute numbers because from historical data, we think the absolute numbers do not stack up like reported there. However, the underlying momentum and the underlying applications, I would agree to. And meaning that there is a potential of 20% to 30% CAGR in this market, I would definitely agree to. And the driver is, I mean Felix said it many times, it is power, silicon carbide, gallium nitride. We at AIXTRON certainly would benefit from gallium nitride even stronger than silicon carbide due to our market position. And then there is the laser business, telecommunications and 3D sensing as well as the LED market and the LED market is a little bit the wild card in it, let me call it, whether the micro LED will make it to a volume product, which is not 100% given, which is currently in the test I mentioned before. But if that turns out positive, I definitely see the opportunity for such growth rates.
Felix Grawert: And with that, let me come to the second part of your question on the CapEx. CapEx in the last years was typically around €10 million per year, sometimes below, sometimes above. And for 2021, we expect a CapEx of around €25 million. And that is driven by two major consumption needs. And the one area is moderate expansion on our production facilities, in particular, in terms of testing facilities, test equipment and so on and so forth, this one. And the other part where the CapEx is going or a significant additional amount of CapEx is going this year is additional prototypes for our new generation of products, which we are just about to bring into the field.
Operator: Next up is Charlotte Friedrichs from Berenberg.
Charlotte Friedrichs: The first one is sort of related on the order intake. Can you give us an idea of the split that you saw with your order intake in the fourth quarter of 2020? And then also, what kind of quotation level are you now seeing in the first quarter? Does it continue at this high level? And then, the second topic would be around the gross margin. Do you already have a broad feeling for where the gross margin could go in, say, 2022, 2023 when you start phasing in your new product generation?
Bernd Schulte: Yes. The order intake in Q4 was strong, as we mentioned, dominated by optoelectronics applications, laser systems for telecom datacom and consumer electronics. I think it was quite strong. It was almost around 70% of the order intake, just came from that application. So there was a certain Q4 effect and we should also mention there were very few, very big orders, which drove that demand.
Felix Grawert: With that, let me come to the gross margin. You asked around '22, '23, where the gross margin would go and develop. On average, I would expect for our new product period, the gross margin of 45% to 50% on that area because it offers additional differentiation potential and increased productivity. But please keep in mind, when you model that in, that in our market, the adoption of new product series typically could take quite some time. So even if we bring in the product into the market in '21, '22, it easily can take 2 to 3 years after the qualification is completed until we see a broader market adoption. That simply comes from the dynamic that when a product is qualified in the sense of a new tool is qualified, a customer has to requalify all the existing products on this tool before they can use it broadly for their production. And this is nothing, which is to say on our side, we are ready to produce. We could immediately switch our entire production from the existing series to the new series. However, our customers will converge new installation step-by-step. And therefore, I think we will have a transition phase from the existing product series, G4, G5, G5 Warm-Wall for our 3 application areas to the new one, I would say in the time period from 2022 to '24 and we will see the full rollout of the portfolio around '24, '25
Bernd Schulte: And I need to answer one of your questions, sorry, about the order intake development. Right now, we're seeing a continuation of a very healthy demand in terms of discussions with customer, contract discussions, quotation levels, et cetera. So we would not be surprised if we see in Q1 order levels even above Q4 level.
Operator: Now we're coming to the next questioner. It is Malte Schaumann from Warburg Research.
Malte Schaumann: The first question is on costs. If I look at SG&A, that has been relatively stable over the past years with stable sales. Now as we're entering kind of a new growth phase, sales up to €350 million, potentially €400 million sales in a few years, where do you see SG&A developing relative then to sales? And then in that respect, also on R&D; R&D is currently rising due to the new product innovations. As your earnings would afford spending for other things, so do you see areas of interest where you think, okay, in the past, you abandoned several projects, but as you're in a more better position now, do you see certain areas so that we should expect kind of an inflated or higher R&D position going forward as well due to your capabilities and potential market opportunities?
Bernd Schulte: Let me talk on the R&D spending and what we expect going forward on longer term. I mean we are definitely, 2021, for the compound product line on a quite high level. And we even expect it to grow over 2020 due to the very ambitious product initiatives we have running. We've started and we have to continue. We want to continue in order to come out with very competitive products in the course of '21 and '22. And that is the main driver of the increase in R&D cost in these 2 years. And beyond that, certainly, we have to continue also thinking about the next-generation developments. The market starts talking about 300-millimeter applications where we certainly have to respond to and we will respond to. But I would not personally expect a significant growth over the levels we currently are in.
Malte Schaumann: So potentially stable, maybe stable at the current level even if it's currently inflated, but owing to new opportunities going forward then the level might be sustainable.
Bernd Schulte: Right. And SG&A in terms of sales, I would not expect also a significant change. I mean these are fixed costs. Certainly, if you have bigger and more demanding customers, you -- someone needs maybe a few more people to support customers and stay in touch with them. However, I would say this is not really significant.
Malte Schaumann: Yes. Okay. Good. Then on OLEDs, if you talk to other customers, besides your lead customer, what's the potential time lag? Because your lead customer obviously has an advantage, should be theoretically be much closer to the decision because of available data. So if you look at other customers, what's the potential time lag until -- when a customer really has to get new data you can provide, et cetera, before he might be ready to really decide on the next step? Could such a customer already order kind of a pilot tool? Or would he, firstly, might copy a system, I think, such the Gen2 project because he has not the same data available as your lead customer obviously has?
Felix Grawert: Yes. I think there's multiple factors determining the speed of the customer decision. And there's actually very, very different corporate cultures inside of different customers about the decision-making. Some customers are very entrepreneurial and go very fast, others want to have almost perfect data before the project starts. So there is a broad bandwidth. And for sure, it will take a couple of months until that is concluded. But we cannot determine and say, there is a certain pattern of decision-making or there is a certain time frame because, in the end, every customer is different and every customer looks at different aspects where they put their focus on. So unfortunately, I cannot give you a very precise answer to that one. The second part of your question about the size of the system. It's very clear the focus now to bring the size, the system to a production scale size because the R&D type feasibility study and phase has been completed. So the discussions are focusing on upscaling to a Gen 8, Gen 6, whatever the sizes are for production equipment and that's the focus. It's not a repetition of another R&D-type system.
Malte Schaumann: Okay. Good. Understood. A quick one on LED. What's the revenue share of the horticulture applications?
Bernd Schulte: I think for Q4, it was minor. I think we talked more about order intake. And we're selling typically on orders level of several -- of many tools. And this equipment is versatile in a sense that you can produce LEDs for horticulture as well as for mini LED or micro LED. This is very difficult. We're just giving you a, let's say, a flavor what drives the demand. But there is no sticker on the tool, this is for horticulture or this is for red LED, it's for mini LED. You can do with the tool all of it. And basically, customers are typically also serving all markets at once.
Operator: The next question comes from David O'Connor from Exane BNP Paribas.
David O'Connor: A couple on my side, if I may. Firstly, the clarification on the order breakdown for Q4. What was the percentage of power within that? And does the mix switch to power in the Q1 order intake or that incremental strength, is that driven by power? And I have 1 or 2 follow-ups
Felix Grawert: So power electronics in Q4 2020 was relatively small. This was just around a 10% level. The expectation for the Q1 of 2021 is very different. Here I think we speak about power electronics about a 50% level. And that is, by the way very typical that quarter-to-quarter, we have discussed together in many calls, the individual applications fluctuate quite strongly. And therefore, it is so convenient and so nice now that we address multiple end markets and that these fluctuations overall level out and create a more steady envelope.
David O'Connor: Understood. That's helpful. And then maybe a follow-up on the GaN side of things. Can you help us size that market for consumers, for instance, equip the industry for smartphone fast charging? And how many tools overall over the next 1 to 2 years do you estimate that market has?
Felix Grawert: This is a very difficult question. I must say I don't have the correct number off of my head. It may be 30, 40, 50 per year. I don't know it exactly.
David O'Connor: Okay. Okay. No, that's helpful. And then maybe just for my last question on the silicon carbide side. One of your customers recently announced the move to 8-inch SiC wafers. Does that change in any way how other customers think of their silicon carbide road map? And can this in any way help you crack some of these other customers?
Felix Grawert: Yes. That's a very good question. So this is a very interesting trend in the market. Initially, the focus of the entire industry was on silicon carbide 6-inch. Now everybody sees that especially in the last 1, 1.5 years, the plan of all the car OEMs worldwide towards electrification has significantly accelerated. I think we are now clear, everything will become electric. It's just a question of when it becomes electric. And we have also seen in the last one-year that all the car OEMs are significantly pulling in their time line for electrification. I think that was a major change that we saw in the automotive industry in the year 2020. And with that, now for the semiconductor industry, it also becomes very clear that very soon, there will be very significant volume of MOSFET for the drivetrain of all these electric vehicles. And this has now put a push on the faster and 8-inch adoption because for the adoption of 8-inch, a new wafer size, the market needs to be big enough. And suddenly, throughout the year of 2020, the expectations on that market have become big enough. And with that, customers are now pulling in the conversion from 6-inch to 8-inch. It was initially planned around 2024, 2025. And many customers are now talking about the adoption 1 to 1.5 years earlier than that. So the adoption will be somewhere between 2022 to 2024. That creates now a new dynamic. Everybody is now starting to make that plan for the 8-inch transition. And here, AIXTRON has a unique position and we believe, as you have indicated in your question, that we can exploit that as our clear strategy to exploit that because in our Planetary equipment, we typically also in gallium nitride, can both load 6-inch wafers and 8-inch wafers. The reactor furniture needs to be a little bit retrofit. It's a small kit, costs like €100,000, €200,000. I mean it's a small fraction of the total price of the tool and then the tool can be retrofitted. And with this, we are currently now working on, let me say, revision of our tools, which is both 8-inch and 6-inch capable. We had in first discussions with customers on the tool, actually first customers have purchased the tool already. We plan to ship it early in 2022, standing already on our shop floor here. And that tool will then be both 6- and 8-inch capable. And it will give us an additional value proposition and an additional angle to approach and address more customers or to crack into those customers where we are not a tool of record yet. That's clearly part of our strategy.
Operator: The next question comes from Harald Schnitzer from DZ Bank.
Harald Schnitzer: Yes. Given the strong demand in power electronics, could you give us an indication of how -- if your market share has improved in GaN and SiC? And with regard to SiC for the automotive industry, do you have follow-up orders after Porsche has signed? And that's the questions. And with regards to the tax rate for '21, could you give a guidance on that as well as on the free cash flow?
Felix Grawert: Thank you very much. Yes, market shares in power electronics. Market share in gallium nitride, we estimate that the market share is somewhere between 90% and 95%. In silicon carbide, our market share is strongly driven by which customer is ordering in which year. In the year 2020, which just passed, one of our customers was placing significant amount of order compared to other customers or other players in the market, which are not using our tools. So in the year 2020, we could register, I think, around 45%, 50% of market share in silicon carbide. But that was, again, strongly driven by the individual ordering pattern of customers and so far on the market share. The other question?
Charles Russell: In terms of the tax rate for 2021, I think I said in the speech that the underlying tax rate in 2020 was just over 12%. And I would expect somewhere between 12% and 15% to be the tax rate for 2021, bearing in mind that is all subject to any change in recognition of the deferred tax assets or derecognition depending on what the prospects are for future years beyond that. And in terms of free cash flow, we don't usually give a guidance on the free cash flow. We stopped doing that during 2020, but I would expect it to be positive and probably more positive than it was in 2020 itself.
Operator: And the next question comes from Lee Meyer from Lord, Abbett.
Lee Meyer: Yes. My question. A - Bernd SchulteHello? Operator?
Operator: Just a second. Yes. Let me see where the connection of Lee Meyer is? Give me a moment. Sorry, Mr. Meyer, your line is open again.
Lee Meyer: All right. My question is in regards to micro LED, which albeit is still a bit in the future, it's a bit of a ways off. But you clearly have technological strength in the ROY market. But historically, in the blue green market, with GaN, it's been a bit of more of a challenge from the competition, both out of China and as you mentioned, with Veeco. As we move into these smaller, finer feature sizes, both in mini and then, more importantly, with micro, do you think you can regain your competitiveness outside of ROY, specifically in green and blue or blue?
Bernd Schulte: Yes. Lee, thank you for the question. Definitely, yes. The requirements for micro LED are very, very different than the requirements for solid-state lighting LED. In all 3 colors, what is the utmost requirement is the uniformity leading into good yield levels, low defectivity, et cetera, et cetera. And this comes together with relatively big wafers, 6-inch, 8-inch wafers. And if you want to do this with acceptable throughput, we are very convinced and that's the feedback we're getting from all our customers, the Planetary Reactor is the best choice. And we believe we will have all 3 colors for micro LED. 
Bernd Schulte: Okay. Ladies and gentlemen, I would like to end this call on a personal note. After 28 years with AIXTRON and 19 years at the Executive Board, I will retire end of March. Looking back at these years, there have been good and less good ones, but all times have been very exciting for me. Even after that long time, I'm still amazed about the technology and the markets AIXTRON is serving, AIXTRON's people and the great perspective of the company. I would like to thank you all for your interest and support for AIXTRON, and I really wish that you will continue like this as I believe there is a bright future. Thank you very much, and good bye
Felix Grawert: Thank you, Bernd. I would like to add some personal words to that, what he just said. Bernd, I enjoyed very much working with you and I will until the end of March, that's for sure. You have pushed and supported me at the same time. And we always discussed our ideas and views very actively, sometimes controversially. But at the end, it was always fruitful. In addition to that, we went along very well on a personal level. Therefore, I can tell you regret seeing you go, but I wish you all the best for your time at AIXTRON with your family and whatever you want to do. Thank you, Bernd. Well, thanks to all of you for attending. We will be hosting meetings on virtual road shows in different time zones next month. Please let us know if you're interested in joining. Please note that our next earnings call will be on April 29, 2021, for our Q1 2021 quarterly results. Thank you and bye-bye.